Operator: Welcome to the Voxtur Earnings Conference Call. My name is John and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder, the conference is being recorded. And I will now turn the call over to Chief Investment Officer, Jordan Ross. Jordan, you may begin.
Jordan Ross: Good morning, everyone. Thank you for joining us for the Voxtur fourth quarter and fiscal year earnings call where we will discuss our financial results for the period ended December 31, 2021. Please note that our results will release this morning and can be access on SEDAR or on our website at voxtur.com. Joining me today are Executive Chairman, Gary Yeoman; CEO, Jim Albertelli; and CFO, Angela Little. We will begin with prepared remarks and then move into Q&A session. If we are unable to get to your question, you are always welcome to contact me directly at jordan@voxtur.com. Angela Little will begin by discussing our financial results, you'll then hear from Gary Yeoman, who will outline our strategic vision, the milestones we've achieved and our strategic priorities moving forward. Finally, you'll hear from Jim Albertelli, who will provide an update on the execution of our strategic vision through organic growth opportunities and operational improvements. Before we get started, please be advised that some of the information that we will share on this call may contain forward-looking statements. We caution you not to place undue reliance on forward-looking statements and undertake no duty or obligation to update any forward-looking statements as a result of new information, future events, or changes in our expectations. Further, on today's call, we will report using both IFRS and non-GAAP financial measures. We use these non-GAAP financial measures internally for financial and operational decision-making purposes, as we believe that they provide a meaningful measurement of financial performance and valuation. These non-GAAP financial measures are presented in addition to and not as a substitute for the financial measures calculated in accordance with IFRS. To see the reconciliation of these non-GAAP measures, please refer to our press release distributed this morning, May 2nd, and our management discussion and analysis, both of which are available at sedar.com and on our website at voxtur.com. A replay of today's call will also be posted on our website. Finally, please note that all references to amounts or currency during today's call are in Canadian dollars unless otherwise stated. I will now turn the call over to our CFO, Angela Little.
Angela Little: Thank you, Jordan. Good morning everyone and thank you for joining us. Q4 was another strong quarter for our company. Consistent with earlier quarters in 2021, we continued to reinvest in the company and execute our strategic growth initiative. This included the completion of the Benutech acquisition on December 30, 2021. With that said, we are pleased to report that revenue and gross profit continue to increase on both a quarter-over-quarter and year-over-year basis. Q4 2021 revenue was $38.7 million, which represents a 57% increase over Q3 2021 and a 548% increase over Q4 2020. Fiscal year 2021 revenue is $95.9 million, which represents a 368% increase over fiscal year 2020. Q4 gross profit was $12.6 million representing a 33% increase over Q3 2021 and fiscal year 2021 gross profit was $37.3 million, representing a 300% increase over fiscal year 2020. Revenue from U.S. operations represented approximately 91% of the total revenue for fiscal year 2021, up from approximately 63% for fiscal year 2020. This is a result of the continued expansion into U.S. markets, including the Apex acquisition in 2020 and the Voxtur Xome and Benutech acquisitions in 2021. In addition to significant reinvestments in the company and five successful acquisitions during 2020, the company ended 2021 with positive adjusted EBITDA. Turning to the balance sheet. We ended the year with cash and cash equivalents of approximately $41.5 million, leading the company well positioned to continue executing on its strategic growth plans. For 2022, our focus continues to be on revenue growth. We are beginning to see increased volumes in valuation, title and default services as a result of the foreclosure moratorium being fully lifted on December 30, 2021. We also anticipate significant continued revenue growth from new clients due to the ongoing sales efforts. As a result of the increase in revenue combined with efficiencies and synergies gained from the investments made over the last year, we anticipate positive adjusted EBITDA during the latter part of 2022. I will now turn the call over to our Executive Chairman, Gary Yeoman, to provide additional insight as to the company's strategic focus.
Gary Yeoman: Thank you, Angela, and good morning everyone and thank you for joining us. As you've just heard, we have the solid fourth quarter and we are confident in executing our growth strategies. Over the last year, we've made considerable progress, including several important milestones that I'm delighted to share with you. From the start, Voxtur has had a multifaceted growth plan. This is the driving factor behind the company's enthusiasm for developing SaaS-based solutions to make the real estate finance ecosystem more transparent and accessible. When it comes to acquisitions, we take a very synergistic approach. The enterprise looks for suitable acquisitions that value leveraging data to reduce the cost of inefficiencies of current real estate transactions. More importantly, we look for opportunities to grow organically within each business units and you've witnessed the strategic integrations of newly acquired accretive technologies. We completed the acquisition of Benutech in December with a subscription based pricing model. This resulted in an immediate and significant infusion of property data into our growing repository and the addition of a suite of SaaS-based tools to promote growth in our title and settlement business unit through recurring revenues. As a preeminent source of innovative data solutions and technology applications for the real estate industry, we can leverage the Benutech data and analytics functionality across our business units, providing an opportunity for substantial growth in all areas. You may also recall we closed the RealWealth Technologies acquisition in October which is repositioned with Voxtur Wealth. This acquisition accelerates the development of our asset management platform and direct to consumer strategy. Voxtur Wealth is the consumer and asset management platform that provides a comprehensive view and management of real estate assets, that proprietary investor centric digital platform aims to transform consumer behavior by democratizing data, information, tools and fiduciary support. Every facet of the client's real estate investment will be transparent and validated from the administration of home service contracts and suppliers to prevent financial elder abuse through an encrypted asset documentation repository. Voxtur can provide data driven solutions to help homeowners and trusted advisors make better, more confident real estate decisions with this platform. We demonstrated our commitment to developing more SaaS-based assessment solutions with the launch of our mobile sketch applications resulting in the industry's first digitized mobile asset application in North America. These predictive analytics tools used Voxtur's fast data repository to confirm assessment values for consumers, lenders, and assessors. We can leverage our sketch software to be used with both our property tax and valuation business alliance as a competitive differentiator. We have established ourselves as one of the market leaders in the real estate technology space and we continue to see substantial traction in the marketplace. We will continue this growth and prioritize expanding our data analytics capabilities. I'll now turn the call over to our CEO, Jim Albertelli, to highlight our execution and operational successes during the first quarter.
Jim Albertelli: Thank you, Gary. Good morning everyone and thank you for joining us. We had a productive fourth quarter as you just heard from Angela and Gary. 2021 was a year of formation for Voxtur as we concentrated on revenue development through creative data driven alternatives to establish technologies in the valuation title and property tax space. Uniquely positioned Voxtur continues to add critical pieces to the enterprise as we serve as a single point of contact in the real estate industry. With multiple data sources, we provide comprehensive solutions. We are constantly evaluating all the components of our business to create the most comprehensive and effective toolbox to support the industry. We continue to target the entire lending life cycle and accelerate new growth by engaging with new clients. We have established our expertise with new products and new technologies, new leadership. We are embracing strategic partnerships and white labeling technology to industry partners to promote further growth. Our business teams deliver these cloud native SaaS solutions while cognizant of operational excellence resulting in demonstrable client successes. We have assembled an amazing sales force that can sell products to capitalize on our land and expand organic growth strategy to new and existing clients. We have a strong pipeline and continue to increase our technology development and infrastructure to keep pace with this accelerated growth. Since we last met, we launched our lender direct appraisal platform. This Voxtur Verified technology allows the lenders to manage the entire appraisal process resulting in a faster and more efficient operation. This revenue model incorporates both transactional fees from lender driven orders and subscription fees from each participating appraiser. It also increases market demand because of its streamline direct model resulting in substantial revenue growth. Voxtur's cloud native end to end encrypted, route optimized, AI enabled valuation data pipe continues to create efficiencies in the valuation space. It enhances the consumer experience resulting in a seamless transaction between consumers and financial institutions. Our industry expertise allows us to anticipate the market's needs and a deep understanding of data leads to a Voxtur innovative solution. The recent approval of desktop appraisals confirms our investment in automated and digital appraisal reports. With the acquisition of Benutech, the company bolstered the recurring revenues while expanding the Voxtur database, allowing for additional product launches. The development of this data ingestion engine was accelerated by adding validated data and intuitive SaaS tools designed to facilitate better data utilization. Our settlement services division has also had a productive quarter of focusing on creating additional operational efficiencies and continues to grow its client base. We are investing in new technology to streamline the closing process and modernize the settlement services operation that Voxtur provides to mortgage company clients. Just this month, we saw a nationwide launch of Voxtur settlement services brand, which will lead to increased brand recognition for the Voxtur Enterprise. Our property tax business continues its trajectory with the addition of several new U.S. clients while successfully increasing revenue across the product lines, not only with our mobile sketch application, but the recently launched real property tax analytics product provides lenders investors and most importantly homeowners transparency and insight into the accuracy of their most significant home operating expense, their taxes. Also in the consumer channels, Voxtur Wealth is a platform that will deliver Voxtur data and SaaS-based tools to benefit consumers in managing their real estate assets. We expect this to be another source of recurring revenue with both transaction and subscription based pricing. As we look ahead, we are energized by the recent government mandates to make homeownership more affordable, reinforcing our thesis of a digital future, creating more efficient and cost effective solutions for the lending life cycle. Many of you have seen the recent news of the update to the Fannie Mae Single Family Seller and Servicing Guide, allowing for an alternative to title insurance. The new guidance spotlights the Voxtur AOL platform, a Voxtur AOL provides an attorney's opinion of title backed by transactional liability insurance that follows the loan for the life of the loan and is issued by an AM Best A Rated carriers. The Voxtur AOL has provided in partnership with established real estate law firms in the industry and allows lenders to offer a low risk alternative to traditional title insurance that supports Fannie Mae's housing goals. This initiative marks the first time Attorney Opinion Letters have been produced with consistency and scale. These guideline changes represent a notable paradigm shift in support of more affordable home ownership. Voxtur is the center of at home affordability. This combination presents a unique opportunity for impactful change that will benefit consumers across the United States. Voxtur continues to build on the foundation in investments made in 2021 to create synergies and leverage real estate lending lifecycle data, making home ownership more affordable and accessible. Voxtur expects considerable revenue growth from new and existing clients through 2022 consistent with our forward-looking guidance. We expect to continue this tempo in all of our business units and you should anticipate the announcement of additional strategic partnerships and result in revenue increases. In closing, we're pleased with our progress during the fourth quarter and are confident in the outlook for the upcoming year. Thank you for joining us on this call today and your interest in our growing company. At this time, we'd be happy to answer any questions you may have. I will turn it over to the operator to open the Q&A.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] And our first question is from Fred Blondeau [Laurentien Bank].
Fréd Blondeau: Thank you, and good morning. I just wanted to revisit your 2022 guidance announced on March 24. On the revenue expectation for 2022 of 170 to 190, I was wondering if you could give us a bit more call on the contributions from licenses to MSA, Xome and whether you have any acquisitions in your assumptions.
Gary Yeoman: Well, I'll take that Fréd. It's Gary here and certainly I'll ask Angela to pipe in, on a more specific basis, but as you have witnessed on past forecast that we have. We’ve chosen the past to be responsible and conservative with what we've done. And so with respect to the new offerings that Jim has highlighted, the vast majority of those new offerings were not included in the guidelines looking forward. And certainly there were no inclusions of any acquisitions at all. So we think that it is conservative. As Jim indicated, we're very buoyant on what is happening in the marketplace. We're making home ownership more affordable. We're certainly doing it more cost effective. And certainly the quality of the product is going to be there because of our alignment to SaaS-based solutions. We can do it quicker, more forwardly and certainly more professional. So I think that that gives you the guidelines that you want. Angela, is there anything else you'd like to add to that?
Angela Little: Sure. Yes, we are in the process of going through our Q1 review right now and we will have those results out at the end of May and it will be right on target for the range that we've provided in the guidance.
Fréd Blondeau: No, that's great. Thank you. And so I assume you don't have anything from the Fannie Mae announcement in your 2022 assumptions. And I was wondering how should we view expected revenue generation from the Fannie Mae announcement?
Gary Yeoman: Jim, if you could handle that, please.
Jim Albertelli: Certainly. Yes. So the engagement process as a result of the Fannie Mae solo servicing guideline change has already begun as you could expect with a raising rate environment and constricted supply, our clients, the lenders have had to get more aggressive in innovating and that's why I've said our prior call to our investor community that there was a portion of Voxtur. There were a couple different components of Voxtur that are countercyclical. That would be maybe counterintuitive to you in the real estate space because of the increasing rate environment, because of the constricted supply. We have been engaged by a number of Tier 1 lenders and top producing mortgage companies across the country to look at our innovative solutions and begin to engage us in earnest. So what you should expect is that the initial testing and production will occur in this quarter. And you should expect that it begins to ramp, we sign additional suppliers in Q3 and then you should see a meaningful impact in EBITDA and in margin being contributed in Q4 really setting the table for a pretty amazing 2023. So that's the process that we're going through now is the question and answer period with the financial institutions, with the exploration, with the scale, planning, with the testing. So all that's going on now, but you're right to pay attention to that Fannie Mae solo servicing guideline and expecting it to have a positive impact. As Gary mentioned to you, we couldn't zero in on the exact date of when that was going to change. It was completely under FHFA and Fannie Mae control. So we didn't include it in a meaningful way in our 2022 guidance. It's very important to us as the management team. And I'll just reiterate what Gary said because directly on – it's just our thesis and it's core to us. We really wanted to, as we just shown you from 2021 and giving – providing the guidance and then exceeding that, but exceeding in a reasonable manner, continued to focus for us is to be accurate, to stay ahead of it. And if this timeline gets accelerated or as we sign clients, we'll make those announcements and we'll adjust accordingly. So that's the nature and that's the mindset of the company to be conservative. We know that people are counting on us to achieve the goals and we are focused on achieving those goals.
Fréd Blondeau: That's great. Thank you and congrats on your successes.
Jim Albertelli: Thank you, Fred.
Gary Yeoman: Thank you.
Operator: Our next question is from Christian Sgro from Eight Capital.
Christian Sgro: Hi, good morning. I saw that [indiscernible] reported a healthy uptick in foreclosure volumes in Q1 these past three months. So I was wondering if you could provide an update on the default activity that you guys are seeing in the U.S. and how you think this could trend through the year?
Jim Albertelli: Yes, Christian. This is Jim again. Yes, I've got it. We saw the moratorium be released at in the beginning of January of this year. And then the first foreclosure referrals and some time coming to the system, the slow ramp is a result of work being done behind to see, various government agencies working in tandem with lenders to evaluate all of those loans, to make sure that they're appropriately referred and that each consumer has had access to all the bearing plans. It isn't that long ago, but if you recall going through the COVID pandemic, there were multiple attempts and different forbearance plans and different alternatives to foreclosure that were promulgated throughout the United States. As a result of that, lenders had to be very careful as they begin the referral process to evaluate those. I expect that most of those evaluations and consolidations will be done by the end of Q2. And so that you should expect a Q3 and Q4 accelerator of default revenues, not just in our default technology and management, but also in the bankruptcy environment where we tie together consumers and the trustees and the mortgage servicing platform and the financial institutions to keep them in basically reconcile all of those accounts simultaneously protecting the lenders from liability and making sure that individuals payments in the bankruptcy process are accurately and timely applied. So both of those efforts overall default management technology, as well as bankruptcy technology should begin to accelerate substantially in Q3 and Q4. And that's why I also mentioned the countercyclicality of our business, people think, it's the mortgage business and rates are up and mortgage origination is down. The SFR business, the Single-Family Rental acquisition business is still acquiring in the thousands and thousands of units. Many of our tools make them more cost effective. Increasing rate environment creates additional goal, competition and innovation becomes essential for financial institutions to not only survive, but to thrive. Remember we have a Benutech asset, we acquired that has lead generating technology to generate new leads, extremely important in a tightening end market. And we also have, of course, the AOL reduce costs for disclosures, increases the competitive nature of our partners. At the same time, that's why I think it's the best of times and it's the best of times. On the other side, you also have the default technology as rates tick up and these defaults are released. Now you have default management and bankruptcy technology. So you have innovation and additional proliferation of default technologies that should interplay nicely in Q3 and Q4 for the company.
Gary Yeoman: Jim, if I could just also add to that based on policy, we intend obviously as Jim indicated to introduce our real property tax analytics platform to the United States starting in the second quarter and taking a more profound effect in the last two quarters. But the one thing that everyone knows for sure, certainty and life are two things that there are some taxes and so managing the whole property tax payment platform, opining on the legitimacy of any assessments and taxes that are issued is becoming significant for fundamental opportunity but requirement by the lenders. And again, not only being SaaS-based technology based offerings but this countercyclicality that we have, in default, in foreclosures, in property taxes and the technology that we're offering to make things quicker and cheaper certainly augment our position in the overall marketplace.
Christian Sgro: Perfect.
Jim Albertelli: Yes. Think about what Gary just mentioned. Christian, which is 140 million homeowner total addressable market, and then think about the taxes as your largest operating expense after debt service and what you might be willing to pay for a service like that. A real property tax analytic that could put you on equal if not superior footing to municipalities so consumers can identify where taxes are too high, too low. And by how much, it's a large TAM that Gary addresses. And I think it's just – it bears to think about the size and opportunity in that marketplace.
Christian Sgro: Perfect. That's all helpful color. I'll touch on maybe just for my second question here. The valuation segment which we haven't focused too much yet, but there's a good tick up in AOL in the quarter and Q4 there, some of that's due to a white-label arrangement with a customer there. But just wondering as you guys look out to 2022, any traction on the AOL platform and if there has been any change in your go-to-market, the types of customers you're signing on under AOL?
Gary Yeoman: Jim, I’ll let you handle that.
Jim Albertelli: Certainly. Yes. So we've been very excited about the AOL platform, the launching of a marquee client. One of the largest wholesale lenders in the United States was a fantastic milestone. And we've been working through a number of different customizations with them. I'll divest for a second, with our land and expand that we talk about that client, there's additional opportunity for us not only to provide other title tools, also the AOL. So as we talked about land and expand, I like to use some of these as examples for you as you're thinking about it [Technical Difficulty]. And deliver the technologies, now back to – and that's where you hear me refer to an end-to-end encrypted route optimized, AI-enabled data pipe, what we put in with AOL hasn't changed, like our thesis has not changed. We're going to continue to add both recurring revenue through additional, appraiser signing on, we're going to continue to provide that data pipe and connect to various distribution sources. So you'll see in the next 90 days additional announcement around partnerships that continue to proliferate with the AOL platform. And again, it's about that digitization and about the synthesis of all of the information that we now have at our fingertips. MLS, all of the property specifics, some of the other things that you'll note is property condition, value, tax, title, all of it is the physical asset underwrite and that data pipe that was developed through AOL will continue to be provided to financial institutions and other clients within the real estate life cycle.
Gary Yeoman: And Christian, if I may add, if people want to go back to an interview that was done in September of 2019 with StableView TECH conference, there was an interview done. And I'd like to point out during that interview, we labeled out our strategy and our vision. And if you look fast forward to where we are today in 2022, and keeping in mind, our vision and our strategy that we laid on that time to find out that we carried it out to fee and then some and so I think that, we're at a time and a space in our company where that strategy and visual where we're putting it in place right now, what we're going to focus on going forward is taking those out elements that we have and capitalizing on these opportunities. Jim has mentioned that we have some challenging times ahead with interest rates increasing. It is going to impact the amount of refinancing, the number of transactions are taking place. And certainly, our clients, the lenders are needing to focus, to use technology, to allow things to be done more affordably and certainly quicker. And that's who Voxtur is, that's exactly what we've done, exactly what we laid out three years ago when we initialized this full strategy and vision. That's exactly what we're doing today.
Christian Sgro: Got it. Thank you, Jim and Gary. Congrats on the quarter and I'll pass the line.
Gary Yeoman: Thank you.
Operator: Our next question is from Colin Fisher from Garrison Creek. Your line may be muted.
Colin Fisher: Hey, I'm here. Sorry about that. Good morning, everyone. Couple of quick questions. With regards to your guidance, so just to be explicit, our PTA expansion, AOL and wealth are not included in that guidance, is that correct?
Gary Yeoman: By and large, that's correct. There's a small, minimal amount that we have attributed on the AOL but by and large, the increased capacity what Jim is carrying out both in tax and AOL and other matters have not been included. Essentially the guidance was based on business that we believe to have in place. And then we feel comfortable in carrying out the offerings that we had in 2021 and expanding on those and that’s what the guidance was based on.
Colin Fisher: Okay. And then you guided basically to a 51% gross margin and you can get to 51%, a few different ways. My model sort of comes out that you have an exit Q4 of between 67% and 74% based on your previous business, not including RPTA, AOL and wealth. Is that – would that be about right between 67% and 74% exit rate for 2022 based on your previous guidance?
Gary Yeoman: I think, I’m going to turn to Angela for that in a second. But let’s just say this, that all of these new offerings are technology-based. All of these new offerings are based on using technology rather than brand. And so our gross margins are going to be incrementally substantive in relationship to some of the boots on the groundwork that has been historically done. So I won’t tell you exactly what that margin is, but certainly our long-term view is to increase our margin. Ultimately, that would be north of 75%. We don’t expect to reach that in 2022. But you never know. But certainly, what Voxtur is doing today with all of these new technology offerings, certainly augments and improves all of the service offerings there as far as the gross margin goes. Angela, do you have anything to add to that?
Angela Little: No, Gary. I agree with everything that you’ve said. And I think as we continue to go through the year, you’ll start to see some of that in the back half of the year.
Gary Yeoman: Thank you.
Colin Fisher: Okay. And then, so basically AOL, RPTA and wealth, what would you expect those offerings to have in terms of general gross margins?
Gary Yeoman: Angela, do you want to comment on that?
Angela Little: Yes. I mean, I think you’re – they’re going to be obviously higher than some of the historical gross margins that we’ve reported. I think as we get further into those, we’ll be more comfortable providing more detailed guidance on with some specific numbers.
Gary Yeoman: But just to elaborate, Colin. It’s extremely, extremely important that people understand who Voxtur is, where we’re going and what we’re doing. And the data that we have supplemented by unique and very pertinent and applicable technology is catapulting us to a point of being solely regarded as software-as-a-service provider in every aspect, whether it’s in the acceleration of sales to high double digit increases year-over-year, the cost of acquiring a client is certainly portable since we’ve got four service offerings right now that all blend in to the same clients. And as a result, our gross margins are going to be increasing using that technology as opposed to having something to do manually. So you’re on the right page, exactly what that percentage is going to be, will always obviously be dependent upon how quick and accelerated the adoption is going to be by our lenders. But when you offer something that is cheaper, when you offer something that is quicker and you offer something that is more accurate. It seems to me that that should be an easy decision to be made.
Colin Fisher: And then with regards to AOL, is it going to be like, is it live today, tomorrow? Or is it three weeks from now? Or is it a month from now? When do you expect to start to issue the first AOL on your platform?
Gary Yeoman: Jimmy?
Jim Albertelli: Yes. Thank you, Gary. So we’ve already issued the first AOLs. We did it in the fixed and flip market where the initial loan wasn’t depended did on a Fannie and Freddie guideline. So we’ve already seen this, the product work and we tested in two different jurisdictions. And in both, it was a substantial savings. So we did it to – in a normal mortgage transaction that was portfolioed for a top 10 lender. We provided it for another mortgage company that was providing financing to that fixed and flip market, which remains strong throughout the United States. So it’s already been tested, it’s already been proven, it’s already been provided. In the next couple of weeks, we expect to have an announcement around the execution with some other lenders. We’re working very closely with a number that we’re – like at the finish line, I would expect again, like some point and this month we’ll be announcing around that. And then from there it really is going to be a matter of testing with them, scaling and doing data returns. That’ll take 60, 90 days and then you’ll have the widespread adoption. But the interesting thing about it is that this is a platform. It is a platform that we can provide to other attorneys, to other title companies, to title underwriters, to other third-parties. So it’s a platform that’ll provide using our data, using our unique algorithm to support the product the ingestion engine that we’ve created. It’s really an end to end encrypted database that allows people going to uber-efficient, reduce the risk to the lender and to the consumer and provide a more cost effective and better customer service experience. So it’s really unique in that way. And that’s why we’re very excited about it. Once we get through this, I’ll call the initial testing phase, onboarding and signup phase and make that announcement. Then it’ll be about – and we already signed other parties to distribute. So then it’ll be about signing distribution contracts and unit counts. And so I would imagine that end of Q3 and Q4 will be one of those lines where we provide some additional guidance around unit and client counts.
Colin Fisher: And I’ll just follow-up with this. RPTA and wealth, what do you expect? What sort of anticipation do you have in terms of adoption and when do you expect those to start to go live in terms of the expansion of RPTA and the launch of wealth?
Jim Albertelli: Yes. Well, if you look – yes, if you look at the at the tax piece, and you think about the adoption, the great thing about Voxtur that that may not be readily apparent to everyone is that, we have these master services agreements with lenders. Lenders, about 60% to 70% of their portfolio, they are the escrow agent to handle those taxes, right? So as they do it, as they service these loans they actually receive the updated tax bill. And generally they just take in that that tax bill and pay the taxes. Okay. But with RPTA, RPTA is the analytics to make sure that the tax is accurate, so the new standard I would imagine in this country, being that the data is now being revealed through RPTA. It would make sense that now to be a reasonable servicer to act in a reasonable manner, a non-negligent manner. You’ll need to run an analytics engine like RPTA on your portfolio. Now these are the same clients that we’re already deploying either Title 2, our Tax Waterfall product 2, our Anow Data Pipe 2 or some other service too. So these MSAs can be quickly modified with the state – with additional statement work around taxation. But again, I’ve told other consumers this, since Gary brought this from the Provinces of Canada, since he connected ILA with Apex expanding our reach to 22 out of 3,300 counties and giving us this additional wealth of data, we’re now able to turn RPTA to provide to consumers those 140 million homeowners that we talked about and to lenders. So I expect that over the next 90 days as we’re actually going through testing on AOL and beginning to ramp that up, we’re going to be simultaneously in a two pronged detect with those same clients demoing for them, the RPTA product. And basically I’m showing them as well as regulators that there’s this product out there that can evaluate taxes and help consumers pay accurately. And so no longer will it be enough in the escrow process and as goes for escrow agents too, to just take a tax bill and pay it blindly when you’re looking over somewhere between 5% and 10% of inaccuracy, I mean, I ran it on my own home. And it was – and the taxes were off by 20%. Now that may not be the average we don’t think the averages is a 20% delta. But in a rapidly increasing or decreasing market, okay, which we could have both, we have inflationary effects today. And we have – so we have price appreciation that’s pretty precipitous. At some point in time when supply meets demand and the rates further crowd out additional consumers and the prices, cool, well then at the same time now, prices coming down and RPTA is going to be essential in really marketing to market people’s biggest expense with the cost and without – and not doing that, not performing that analytic will make you negligent. It will be unacceptable. And we’ll be a disservice to consumers. So we expect that our clients are very responsible lenders. Obviously, we were closest with regulatory agencies to help get the seller servicing guideline changed, being very thoughtful about home ownership, being very thoughtful about the consumer and the investor connecting Wall Street to Mainstreet. So I think that’s what you should see. What you’ll see is the recognition as we roll out RPTA, that it’s not – it’s not optional, it’s going to be a required tool for lenders, and it’s going to be a great opportunity for consumers. I know I’m glad I have it in my jurisdiction to help me, and I’m sure that that other consumers that I’ve spoken to across the country are going to feel the same way.
Gary Yeoman: Colin, I’m just going to say, just to be clear, these algorithms that we built is based on 40 years history of assessment tribunals across North America. The decisions that they make, the parameters on which they make their decisions. And so it’s an infusion of that decision making process, incorporating the laws in these requisite jurisdiction, along with this substantive database that we have ingested, which we believe is second to none in North America right now. So combining, subscription data along with MLS data along with impeded algorithms based on assessment tribunals and jurisdictions, it really does set us apart from anything that’s out there right now in the marketplace.
Colin Fisher: And one last question. Thank you for that by the way. One last question is regarding the desktop review and the sketching requirements coming out. When do you expect that to have a material impact on the market as a whole? And which of your acquisitions and platform are going to be best able to adopt to that or benefit from that?
Gary Yeoman: Jim? Hello, Jim? Then maybe I’ll hop in.
Jim Albertelli: Sorry about that. No, I was on mute, Gary trying not to interrupt anybody. So on your question, you were asking, which one of the platforms you expect to change the market first? Is that the question?
Colin Fisher: No. I’m asking, so the desktop review has been put in place, and there’s a sketching requirement element. I’m curious as to when that’s actually going to finally have real impact in the marketplace and which part of the platform will best be able to adapt to this or benefit from it?
Jim Albertelli: Sure. So the – if you must – maybe you’re paying attention to the to the Freddie Mac guideline that’s going to change around desktop appraisal in July, I think it’s July 22 of this year. I think from that time slightly before the 22 of July, and then going beyond that into the quarter and into the fourth quarter, what we call the Nexus, it was what I was calling the synthesis, but we call the product Nexus. It’s the combination of the ingestion of the Apex Sketch. The application of RPTA, the imagery that’s created through our augmented reality app, the wrap of data around an automated valuation methodology and the insurance component, all of those pieces feeding into this Nexus platform that is dedicated to provide hyper accurate hybrid appraisal support. We expect all of that to really proliferate after that Freddie Mac announcement. Already working closely with the GSEs on what they call data and done, which is the ability to provide all of these tools. But I think when you look at towards the end of summer you’re really going to see these tools coming together and the culmination of all of the hard work that we’ve done over the past, well, now it’s been a little over a year putting the databases together, acquiring additional data sources through some of the acquisitions. And now seeing it become more meaningful in the marketplace. And Gary and I talked about this with the acquisition of – Gary, talked about it with Apex when he did that acquisition in 2020 with the acquisition of Anow with the combination of the Benutech data with what we did to Zoom, you could see that if you go underneath the covers in each one and it’s consistent to our thesis, but if you see underneath it, you’ll see that it’s that data asset at its core. And assimilating that data asset, because we have thought leaders in valuation, in tax obviously, and in settlement services as well as mortgage servicing and investing more broadly. You could see that it’s the combination of that data and the combined intelligence of our group that allows it to proliferate and be successful. So look towards end of summer with some additional guideline change, look for Fannie and Freddie to continue to follow the Biden administration mandate of additional affordability and how important and impactful what we’re doing could be this modernization and alternative to title could – can save the average person $1,000. The culmination of our Nexus platform, the synthesis, the data could be at another $700 savings in a transaction. This RPTA tax for consumer could reduce your taxes. Well, for me, it was 20%, but on average somewhere between 5% and 10% of your tax bill, putting thousands of dollars back in people’s pockets each year. So, look to us to provide very accurate technology and tools built on this data within the regulatory framework that’s the beauty of it. That’s why when you look at some other competitors or you look at people that espouse that they’re going to change this. We’re going to change title or we’re going to change this, having the understanding of the regulatory guidepost like Gary does, like I do, like our team does being able to operate in that and then apply. And then hash [ph] database distributed ledger technology, being able to build blocks of data so that you can do something once. And it’s immutable, understanding that we can deliver it in an elegant cloud native environment and solution. All of those things, you should see those thesis being proved out on the AOL was the culmination of understanding the current regulatory framework, the legal framework, the nature of the delivery from a Six Sigma standpoint within our clients, the insurance framework and being able to put all of that together in such a way that it could be a efficient and effective. So it was really to show the world, but definitely North America, that Voxtur has the data to do it. Voxtur also has the technical chops to do it. Voxtur also has the technical expertise to do it. And Voxtur is willing to make it happen. And we did all of those things and now our shareholders get to see, well, they’ve already seen some of the success, but they get to see the further success and the growth of the business. And that’s what RPTA is too. It’s all those years of Gary doing international tax, building a multinational company working on the most sophisticated tax challenges of supporting the provinces of Canada and the communities throughout the United States with tax technology. And then really thinking, if we can do this and be the arbiter of the truth, be the company that has the most validated, accurate information. And then why would we likely we did with AOL, let’s also do it for consumers, let’s set a new standard and that standard will become a legal standard, and that will drive the necessity of this. It’s not going to be a luxury. So that’s some and hopefully that gives you a little bit of more insight into our mindset as a company.
Gary Yeoman: Colin, if I may add, it’s not coincidence on what we’ve done. I’m a big believer that it’s not a matter of taking somebody that has technology chops and knows how to code and knows how to adapt itself to the latest software applications, et cetera. That obviously is important, but if you do not have somebody and our team that have spent a lifetime in the real estate business, understanding what the clients wants and needs are, not having to ask them, but understanding of what their wants and needs are, and being three steps ahead of the game. So that we’re in a position to deliver when the necessity happens and this necessity is happening right now, because I think everybody knows that we’re going to have challenges ahead of us, meaning the world at large with respect to the number of transactions and the impact of interest rates, et cetera, et cetera. And so, what distinguishes us is that we have this innate ability to understand what our clients want, what they need, and we’ve had the foresight and the innovative ability to be able to kind of – not kind of, but to be able to build something that addresses all of the needs for the consumers and for the lenders to make this successful for us. So regardless of what’s going to happen in the future, we have separated ourselves. Our goal is to deliver these appraisals within 72 hours and $200 versus a $1,000 in 20 days is taken today. It’s our goal to be able to deliver, attorney opinion letters for under $1,000 where it’s costing anywhere from $2,500 to $3,000 today. I mean, to roll out taxation, to roll out all of these innovative products, just not coincidence. It’s been an oversight – an overnight success that’s been probably five years in the making.
Colin Fisher: Thank you for that. And I agree you guys have been doing a great job in terms of shepherding the business and building it as you’d outlayed. I’ll leave it at that. I’ll pass the phone if anybody else has any more questions. Thank you.
Operator: Our next question is from Ryan O'Flanagan from Cormark.
Ryan O'Flanagan: Hey guys. Congrats on the Q4. My question is on the AOL platform as well, just curious on the rollout, is this something that we should expect you guys manage with strategic partners nationally? Or is this going to be managed on a state by state basis?
Jim Albertelli: Yes. So, yes. So you should expect a couple of things might be like the beginning, what you’ll see is a couple of key core jurisdictions that have slightly different title laws and slightly different closing models. For example, you might see a notary closing state like Florida, for example, or you might see a state that has more attorney involvement, New York, New Jersey, Pennsylvania. You might see a state where an attorney does the doc reviews as well, like a Texas. You might see a Western state like a Colorado or California where there’s a combination of title is separate from escrow. So, as you, as we roll it out, think about like this, it’s a national product, national platform. It works in every state across the country. So, the low line in the testing will happen in a few key jurisdictions. Probably in like a Texas, Florida, Pennsylvania what’s just take those three in our discussions that could certainly change based on lender needs, a lender has a lot of work to be done in Colorado. Then Colorado may move itself up the priority list. But essentially you’ll see it launched there. You’ll see the initial testing phase done internally. Voxtur settlement services providing settlement us providing technology and lawyers coming into our platform to do the legal work. So you’ll initially do that. That’s so we can control the, what I call the – you hold and we hold make sure that we have the best in delivery. And we maintain price integrity, but that’s just a small portion of it. The – I am looking to scale quickly from that initial, what I think it will be in the 90 days, now could be as many as a 1,000 a month, looking to, we expand to the 10,000 a month very quickly, and then the 50,000 a month representing a small portion of the 1.1 million to 1.3 million transactions that occur on a monthly basis in the U.S. So, I’d like to achieve that certainly by 2023, but you’ll look and you’ll see it, key jurisdictions come out first. We roll out internal due testing control for service delivery et cetera. We’ve already signed distribution – some distribution partners. We’ll continue to do that over the next 90 days while we go through testing. And then you’ll see it launch out based on lender footprint. One lender may be really strong in the Northwest, in Washington, Oregon et cetera, so that they might be more focused there. Somebody else might be in the Southwest, so it’s California, Arizona, Nevada. So it just depends on those lenders, but it’s a platform that’ll support that anywhere you are in the United States.
Ryan O'Flanagan: Great, thanks. And this kind of ties into it as well, I guess just you’ve had some original conversations of these lenders, sounds as though there’s an opportunity to announce a few partnerships in the sort of shorter term here, just out to curiosity, how ready were these lenders for this change and how would you sort of rate their ability to pivot and to add your platform, I guess finally, are there any other sort of strategic opportunities that you guys have either with partnerships or other little tuck-in acquisitions that might help shorten that sort of cycle of integrating them and make it an easier process for them if they’re not prepared for it today?
Jim Albertelli: Yes. So that’s a great question. Here’s what – why we’re so excited about it. Remember from a – we provide the traditional title and the settlement services two lenders two day [ph] through APIs or direct integrations and into doing, we’ve proven we can do scale, we can close transactions at scale. And so from a Six Sigma standpoint, when we took a look at, what do you want to change, right. And what do you want to leave the same? Well, the data ingestion and the accountability and auditability, we knew we wanted to improve that. Okay. We improved that through our technology, the end-to-end encrypted environment. We wanted to improve the claims paid process. So we streamlined and then improve that. And we wanted to improve the nature of the human being that intersects with the technology we did that. And then we wanted to change the pricing and so we did that. The last component, however, that we didn’t change was the process. So from a lender standpoint, if they use a third-party provisioner to get to provide fees that populated to their LOS or their POS system, their point of sale or the loan operating solution, we didn’t change anything. So we had the ability to leverage companies and technologies that provide support services to lenders effectively without changing anything in their world, because our fee structure is simpler. It’s actually easier for a loan officer to disclose. It’s easier and more understandable for the consumer. There are no additional fees. There are no add-ons for different – like different forms that would append to a title policy. In fact, if you have a lender in the lender and the lender requires a product to assure the title, then what you can do is the homeowners and additional insured. There is no additional fee for homeowner. So whereas today you have two different fees. You have an additional fee for the homeowner and the lender. So like we cleaned up and we automated where we needed to. We encrypted where we needed to. We improved the payment process where we needed to. We secured it and then we deliver it in the same manner that the lenders are ingesting these services and technology today. So that’s the beauty, that’s why when we look at it, we say, I think, we – I can get to a 1,000 units in three to four months and maybe 10,000 units in six months by the end of Q4 and then continue to scale up, it’s because we have these integrations and because our distribution partners do. So you’ll see in the nearer term, the next four weeks or six weeks or so announcement that we are in production with lending partners subject to their limitations of course on disclosure. But we’ll be able to talk in general terms. It’s a top 10 lender by volume or a top 10 bank by assets, a tier one bank by assets. So you’ll be able to hear that. I would imagine some lenders will want to get out in front because of the effect it has on disaffected homeowners, because it’s so consumer friendly. I think some lenders want to announce that and actually beat their chest that they’re leading the pack on making home ownership more affordable and doing things for their consumers. So I’d expect some of that too. And then it’s really the distribution partners signing them up and adding them already. But we’ve already done that contracting for a couple that are in the wings now waiting. And so I expect that this is going to grow pretty quickly. And that’s why it’s tough when people say, well, will it be the AOL that’s going to be the biggest part of Voxtur success in the rest of the year, or will it be RPTA or ill it be VoxturWealth. That’s tough. All of them are relatively green fields with first mover advantage and IP protection. I mean, we have a process patent filed on our methodology to create this Voxtur AOL. We have IP on our protection on our data pipe, the A&I [ph] technology. We have IP protection on RPTA. So that’s unique. So – and RPTA has 140 million homeowners. So what is 10%, did $20, I mean, the numbers get big quick. So depending on how quickly that proliferates and does it go through the servicers to attach with RPTA at the same time, they need to get more competitive. It’s going to be an interesting and fun expansion to watch. Is it AOL, is RPTA, is it the real well platform? Is it something else that we haven’t disclosed yet? That’s interesting. That’ll have to reveal itself later, but all of it’s exciting to be part of Voxtur.
Ryan O'Flanagan: That’s really helpful. Thanks guys.
Operator: And that was our last question. Thank you, ladies and gentlemen, for participating in today’s call. You may now disconnect and speakers stand by for your debrief.
Jim Albertelli: Thank you all.
Angela Little: Thanks everybody.
Gary Yeoman: Thanks everybody.